Operator: Good afternoon and welcome to the Fourth Quarter and Year-end 2009 earnings. My name is Sarah and I will be facilitating the audio portion of today's interactive broadcast. All lines have been placed on mute to prevent any background noise. After the speaker's remarks there will be a question-and-answer session. [Operator Instructions]. At this time I would like to turn the event over to Ms. Willa McManmon, Director of Investor Relations. 
Willa McManmon: Thank you, good afternoon. I am here today with Steve Berglund, our President and CEO and Raj Bahri our CFO. Before we begin I would like to remind you that the forward-looking statements made in today's call and the subsequent Q&A period, are subject to risks and uncertainties. Trimble's actual results may differ materially from those currently anticipated due to number of factors, including the competitive nature of the market place, the condition of the worldwide economy and other factors detailed in the company's Form 10-Ks and 10-Qs or other documents filed with the Securities and Exchange Commission. During this call, we will refer to press release, the press release and additional financial statements are posted on our website at www.trimble.com. The non-GAAP measures discussed in the call are reconciled to GAAP measures in the table to our press release. Let me turn the call over to Steve.
Steve: Good afternoon. The fourth quarter reflected continuing recovery albeit in an environment that remains comparatively uncertain and volatile relative to our historical experience. Our revenue is slightly above expectation and our operating leverage in converting net revenue to operating income was good. While acknowledging the ambiguities and dangers around us, Trimble's outlook remains in the same cautiously optimistic realm we provided in October. Although we have yet to produce persuasive financial results demonstrating this improving outlook, we did see the first year-to-year revenue and operating earnings increased in five quarters and can reaffirm our anticipation of double digit revenue growth for 2010 with a disproportionately positive effect on earnings. The conditions in the engineering and construction segment were difficult throughout 2009 but we're more manageable during the second half of the year. In addition to greater stability we are beginning to see some signs of improving demand in some regions and in some product areas, most particularly in survey instruments and construction machine control which both provided meaningful double digit percentage growth in the fourth quarter over prior year levels. This improvement is occurring without much identifiable impact from the U.S. stimulus package or much decisive improvement in business confidence in North America or Europe. If either of these should appear we could see a faster acceleration later in 2010. The U.S. and European commercial and residential markets remain difficult at this point with no real expectation of a lift in the first half of 2010. Other international markets remain generally positive with an emphasis on China which continues to be a source of strength. Against the easily identifiable points for being negative about the E&C segment; let me specify some of the reasons for believing we can grow the segment this year. While these factors will all provide a lift, it is relatively hard to quantify the extent of that lift very precisely because of the larger uncertainties at work in the economy. But first is the fact that we are supplying productivity solutions for the E&C market and operate somewhat independently from the machine utilization metrics that determine new machine sales. As the market picks up we have the ability to sell on to existing equipment fleets and not wait for the revival of new machine sales. We also believe the adoption rate of our technology will accelerate on any recovery because of structural changes that have occurred within the industry as a result of the severe recession. The only likely survivors of the consolidation that has occurred among contractors and service providers will be those who have improved their productivity through the use of technology. As recovery occurs in the scale of work increases we expect the percentage of machines utilizing our technology will likely be significantly higher post recession than prerecession. The second factor that argues for some optimism is that some level of [haunt up] demand has built up in some product categories. For example, we are in the third year of lower expectations in our survey instruments business. While it was rational for survey firms to hold off on expenditures and period of reduced project work. When the project work begins to pickup many of these firms will find that they have sat out one or two product generations which have offered significant productivity improvements. As they become more confident about the future prospects they will have a need to engage in some catch up investment. Our third factor is the structural benefit we will receive from the SITECH distribution channel development. While we have been hampered by the simultaneity of the Caterpillar joint venture announcement in October 2008 and economic meltdown momentum continues to build distribution capability more available to Trimble during 2010. Our fourth factor is the availability of new product categories during 2010. For example, we expect the first products from the virtual site solutions venture during 2010 which will stimulate sales activity in the second half of the year. In other example of new product introduction is the release of a complete suite of new survey products for Spectra Precision and Nikon brands at the INTERGEO trade show. These products have been very well received to the point where our initial constraint was manufacturing ramp-up not market demand. A fifth factor may be the arrival of U.S. stimulus effect in the second half of the year. While we have been relatively dismissive of the effects so far it is likely that any money that was released in early 2009 based planning and regulatory process lead times of 18 to 24 months. Under that high processes the net effects might begin to show up in the second half of 2010. The sixth factor is the still relatively healthy dynamics in E&C markets outside of North America and Europe. Africa is becoming a legitimate growth market for us and is providing very strong percentage growth and China remains very strong. The attractiveness of our technology in emerging economies was demonstrated by our first Trimble Dimensions user's conference in China in December. We had over 2100 registrants at that event and the first outing matching the attendance of the fourth Trimble Dimensions held in Las Vegas in early 2009. While recognizing that still weakened and volatile state of the economy, we continue to believe the E&C segment can grow at a meaningful rate in 2010. Any revenue increase coupled with the cost cutting already taken will allow earnings grow significantly faster than revenue. As expected the field solution segment reflected a small decline in agricultural fourth quarter revenue year-to-year which offset a small increase in GIS revenue. The slower agriculture market has resulted from tighter credit conditions in markets such as Brazil, weather conditions in some countries and reaction of farmers to the general economic uncertainties. Despite the slower than anticipated demand in the market our view continues to be the 2009 represented more of a resetting of the agricultural technology market after bubble years in 2007 and 2008 then a change in the fundamental long term technology adoption trend line. We expect a new equilibrium to be established in 2010 and we expect to grow agriculture sales in 2010 at a rate consistent with a long term double digit trend line although this effect may not be reflected in first quarter results due to the still difficult year-to-year comparison. The mobile solution segment, continue to build the momentum which will lead to stronger 2010 financials. Beyond the deals already announced a number of relatively significant deals have been signed but not announced or relatively late stage in the selection process. Activity in small fleets and work forces continues to be a challenge for us as smaller operators await a turn in economy and renewed business confidence. We continue to expect the Force re-initiative we launched in the second half last year to beneficially impact financial results in the second half of this year. For the last several quarters we have discussed our efforts to reduce turn in the mobile solution segment and its potential to have a meaningful effect on both reported revenue and profitability. We established a downward sloping trend and overall turn throughout 2009 that should have a positive impact into 2010 results. These efforts would have produced even more dramatic positive effects if they had not been partially offset by economic or industry conditions which have created hardship conditions for number of customers and forced them to shutdown significant portions of their fleet. We expect this economic induced turn to continue throughout this year and expect that it may create some volatility in what is an overall positive trend. Taking together we believe these market and operational initiatives will allow us to demonstrate meaningful revenue and profit growth in the mobile solution segment in 2010. Companywide the fourth quarter provided more evidence that we have passed through an inflection point and we can be more focused on opportunities rather than mitigation efforts. The view express last quarter remains valid. In general we expect the E&C segment to demonstrate the earliest return to better year-over-year comparisons led by heavy and highway and survey instruments. While expecting growth from Field Solutions for the entire year in 2010, the comparisons to prior year will remain relatively difficult in the first quarter and we expect the biggest year on year moves to take price in the second through the fourth quarters. Mobile Solutions will show a steady progression during 2010 has backlog is converted recurring revenue after the installation process is complete. Almost all Trimble businesses are planning for meaningful recovery in 2010, although the statement needs to be qualified by still on certain external environment. Without any new economic shocks and with only modest improvements in the economy we could continue to expect total company double digit revenue growth in 2010, but this significant earnings progression based on a 35% to 40% operating leverage. The planning environment remains complex with both individual businesses and regions at different points and the recovery process and with the probability of continued higher than normal volatility. Overall our focus remains unchanged restoring our financial model improving our competitive position and reinforcing the sources of short and long term growth. We are hopeful of returning to the more businesses usual environment in 2010. Let me turn the call over to Raj.
Berglund: Good afternoon. The fourth quarter reflected continuing recovery albeit in an environment that remains comparatively uncertain and volatile relative to our historical experience. Our revenue is slightly above expectation and our operating leverage in converting net revenue to operating income was good. While acknowledging the ambiguities and dangers around us, Trimble's outlook remains in the same cautiously optimistic realm we provided in October. Although we have yet to produce persuasive financial results demonstrating this improving outlook, we did see the first year-to-year revenue and operating earnings increased in five quarters and can reaffirm our anticipation of double digit revenue growth for 2010 with a disproportionately positive effect on earnings. The conditions in the engineering and construction segment were difficult throughout 2009 but we're more manageable during the second half of the year. In addition to greater stability we are beginning to see some signs of improving demand in some regions and in some product areas, most particularly in survey instruments and construction machine control which both provided meaningful double digit percentage growth in the fourth quarter over prior year levels. This improvement is occurring without much identifiable impact from the U.S. stimulus package or much decisive improvement in business confidence in North America or Europe. If either of these should appear we could see a faster acceleration later in 2010. The U.S. and European commercial and residential markets remain difficult at this point with no real expectation of a lift in the first half of 2010. Other international markets remain generally positive with an emphasis on China which continues to be a source of strength. Against the easily identifiable points for being negative about the E&C segment; let me specify some of the reasons for believing we can grow the segment this year. While these factors will all provide a lift, it is relatively hard to quantify the extent of that lift very precisely because of the larger uncertainties at work in the economy. But first is the fact that we are supplying productivity solutions for the E&C market and operate somewhat independently from the machine utilization metrics that determine new machine sales. As the market picks up we have the ability to sell on to existing equipment fleets and not wait for the revival of new machine sales. We also believe the adoption rate of our technology will accelerate on any recovery because of structural changes that have occurred within the industry as a result of the severe recession. The only likely survivors of the consolidation that has occurred among contractors and service providers will be those who have improved their productivity through the use of technology. As recovery occurs in the scale of work increases we expect the percentage of machines utilizing our technology will likely be significantly higher post recession than prerecession. The second factor that argues for some optimism is that some level of [haunt up] demand has built up in some product categories. For example, we are in the third year of lower expectations in our survey instruments business. While it was rational for survey firms to hold off on expenditures and period of reduced project work. When the project work begins to pickup many of these firms will find that they have sat out one or two product generations which have offered significant productivity improvements. As they become more confident about the future prospects they will have a need to engage in some catch up investment. Our third factor is the structural benefit we will receive from the SITECH distribution channel development. While we have been hampered by the simultaneity of the Caterpillar joint venture announcement in October 2008 and economic meltdown momentum continues to build distribution capability more available to Trimble during 2010. Our fourth factor is the availability of new product categories during 2010. For example, we expect the first products from the virtual site solutions venture during 2010 which will stimulate sales activity in the second half of the year. In other example of new product introduction is the release of a complete suite of new survey products for Spectra Precision and Nikon brands at the INTERGEO trade show. These products have been very well received to the point where our initial constraint was manufacturing ramp-up not market demand. A fifth factor may be the arrival of U.S. stimulus effect in the second half of the year. While we have been relatively dismissive of the effects so far it is likely that any money that was released in early 2009 based planning and regulatory process lead times of 18 to 24 months. Under that high processes the net effects might begin to show up in the second half of 2010. The sixth factor is the still relatively healthy dynamics in E&C markets outside of North America and Europe. Africa is becoming a legitimate growth market for us and is providing very strong percentage growth and China remains very strong. The attractiveness of our technology in emerging economies was demonstrated by our first Trimble Dimensions user's conference in China in December. We had over 2100 registrants at that event and the first outing matching the attendance of the fourth Trimble Dimensions held in Las Vegas in early 2009. While recognizing that still weakened and volatile state of the economy, we continue to believe the E&C segment can grow at a meaningful rate in 2010. Any revenue increase coupled with the cost cutting already taken will allow earnings grow significantly faster than revenue. As expected the field solution segment reflected a small decline in agricultural fourth quarter revenue year-to-year which offset a small increase in GIS revenue. The slower agriculture market has resulted from tighter credit conditions in markets such as Brazil, weather conditions in some countries and reaction of farmers to the general economic uncertainties. Despite the slower than anticipated demand in the market our view continues to be the 2009 represented more of a resetting of the agricultural technology market after bubble years in 2007 and 2008 then a change in the fundamental long term technology adoption trend line. We expect a new equilibrium to be established in 2010 and we expect to grow agriculture sales in 2010 at a rate consistent with a long term double digit trend line although this effect may not be reflected in first quarter results due to the still difficult year-to-year comparison. The mobile solution segment, continue to build the momentum which will lead to stronger 2010 financials. Beyond the deals already announced a number of relatively significant deals have been signed but not announced or relatively late stage in the selection process. Activity in small fleets and work forces continues to be a challenge for us as smaller operators await a turn in economy and renewed business confidence. We continue to expect the Force re-initiative we launched in the second half last year to beneficially impact financial results in the second half of this year. For the last several quarters we have discussed our efforts to reduce turn in the mobile solution segment and its potential to have a meaningful effect on both reported revenue and profitability. We established a downward sloping trend and overall turn throughout 2009 that should have a positive impact into 2010 results. These efforts would have produced even more dramatic positive effects if they had not been partially offset by economic or industry conditions which have created hardship conditions for number of customers and forced them to shutdown significant portions of their fleet. We expect this economic induced turn to continue throughout this year and expect that it may create some volatility in what is an overall positive trend. Taking together we believe these market and operational initiatives will allow us to demonstrate meaningful revenue and profit growth in the mobile solution segment in 2010. Companywide the fourth quarter provided more evidence that we have passed through an inflection point and we can be more focused on opportunities rather than mitigation efforts. The view express last quarter remains valid. In general we expect the E&C segment to demonstrate the earliest return to better year-over-year comparisons led by heavy and highway and survey instruments. While expecting growth from Field Solutions for the entire year in 2010, the comparisons to prior year will remain relatively difficult in the first quarter and we expect the biggest year on year moves to take price in the second through the fourth quarters. Mobile Solutions will show a steady progression during 2010 has backlog is converted recurring revenue after the installation process is complete. Almost all Trimble businesses are planning for meaningful recovery in 2010, although the statement needs to be qualified by still on certain external environment. Without any new economic shocks and with only modest improvements in the economy we could continue to expect total company double digit revenue growth in 2010, but this significant earnings progression based on a 35% to 40% operating leverage. The planning environment remains complex with both individual businesses and regions at different points and the recovery process and with the probability of continued higher than normal volatility. Overall our focus remains unchanged restoring our financial model improving our competitive position and reinforcing the sources of short and long term growth. We are hopeful of returning to the more businesses usual environment in 2010. Let me turn the call over to Raj.
Raj Bahri: Good afternoon. Today we announced revenue of $277.5 million for the fourth quarter up approximately 4% from revenue of $268.1 million in the fourth quarter of 2008. This reverses the negative growth trend of the last four quarters and we expect to post improving growth trends over the next few quarters. I’m going to cover non-GAAP numbers in my prepared remarks, our GAAP numbers as well as a GAAP to non-GAAP reconciliation is available in the press release we issued today. Fourth quarter non-GAAP operating income of $33.8 million was up 18% as compared to the fourth quarter of 2008. Non-GAAP operating margin was 12.2% in the fourth quarter of 2009 as compared to 10.7% in the fourth quarter of 2008. This reflected the fact that we dropped 54% of the incremental revenue to the bottom line. Both non-GAAP operating margins and gross margins were significantly up versus the fourth quarter of 2008 but we are down sequentially versus the third quarter of 2009, due to impact of foreign exchange rate, increased investment in our virtual side joint venture, investment in our user conference in China and product mix in Advanced Devices segment. We expect non-GAAP and operating margin to sequentially increase in the first quarter of 2010. Non-GAAP net income of $25.3 million for the fourth quarter of 2009 was down 13% as compared to the fourth quarter of 2008. Non-GAAP earnings per share for the fourth quarter of 2009 was $0.21 as compared to non-GAAP earnings per share of $0.24 in the fourth quarter of 2008. Net income and EPS were down year-over-year due to the fact that tax rate for the fourth quarter of 2009 was 27% compared to a tax benefit of 48% in the fourth quarter of 2008. The 2008 tax benefit came from our R&D credit and geographical mix. For the full year 2009 Trimble's revenue was $1.13 billion down approximately 15% from revenue of $1.33 billion in 2008. Full year non-GAAP operating income of $172.1 million was down 32% as compared to 2008. Full year 2009 non-GAAP operating margin was 15.3% in 2009 as compared to 19% in 2008. We were able to achieve a 15.3% margin because of significant cost reduction efforts during the year. Non-GAAP net income for $126.5 million for the full year 2009 was down 34% as compared to 2008. Non-GAAP earnings per share of 2009 was $1.04 as compared to non-GAAP earnings per share of $1.54 in 2008. In spite of the fact that net income was down 34%, our cash flow from operations for the full year 2009 was $194.6 million, higher than $176.1 million in 2008. I will now cover the results by segment. Fourth quarter 2009 E&C revenue was $154.3 million, up approximately 8% as compared to the fourth quarter of 2008, largely due to the stronger sales of both survey instruments and machine control products. E&C revenue for the full year 2009 was $578.6 million, down approximately 22% as compared to 2008 due to recessionary conditions concentrated in the U.S. and Europe. Non-GAAP operating income for the fourth quarter 2009 was $17.5 million or 11.3% of revenue as compared to $3.9 million or 2.7% of revenue in the fourth quarter of 2008. The improvement in non-GAAP operating margin was primarily due to year-over-year cost reductions as a result of restructuring in the segment as well as increased revenue. Non-GAAP operating income for the full year 2009 was $64.6 million or 11.2% of revenue as compared to $130.7 million or 17.6% of revenue for the full year 2008. The decline in non-GAAP operating margin was primarily due to lower revenue. Fourth quarter 2009 field solutions revenue was $57.2 million, down 2% as compared to the fourth quarter of 2008. Field solutions full year 2000 revenue was $291.8 million down 3% as compared to 2008 in spite of a difficult comp in 2008 when Field Solutions achieved a year-over-year growth rate of 50%. Fourth quarter non-GAAP operating income was $16.2 million or 28.3% of revenue as compared to $17.7 million or 30.5% of revenue in the fourth quarter of 2008. The decrease in non-GAAP operating margin was due to slightly lower revenue. Full year non-GAAP operating income was $105.6 million or 36.2% of revenue as compared to $110.3 million or 36.7% of revenue in 2008. We were able to maintain very high margin in this segment throughout the year. Fourth quarter 2009 Mobile Solutions revenue was $38 million down approximately 5% as compared to the fourth quarter of 2008 primarily due to the churn among smaller accounts that were impacted by the economic environment throughout the year. For the full year 2009 Mobile Solutions revenue was $154.9 million down approximately 7% as compared to 2008 primarily due to reduced sales of ready mix products for constructions. Fourth quarter non-GAAP operating income in Mobile Solutions was $5.2 million or 13.7% of revenue as compared to $4.5 million or 11.2% of revenue in the fourth quarter of 2008 due to cost reductions. For the full year 2009 non-GAAP operating income in Mobile Solutions was $18.6 million or 12% of revenue as compared to $16.1 million or 9.6% of revenue in 2008. Improvements in the non-GAAP operating margins are primarily due to improving operational efficiencies. Fourth quarter 2009 Advanced Devices revenue was $28.1 million up approximately 3% as compared to the fourth quarter of 2008. Full year 2009 advanced devices revenue was $101 million down approximately 16% as compared to 2008 due to reduced sales of embedded and aerial survey products. Fourth quarter non-GAAP operating income and advance devices was $4.1 million or 14.7% of revenue as compared to $6.7 million or 24.7% of revenue in the fourth quarter of 2008 lowered due to product mix. For the full year 2009 non-GAAP operating income in advanced devices was $18.8 million or 18.6% of revenue as compared to $25.8 million or 21.6% of revenue in 2008. The reduction in non-GAAP operating margins was due primarily due to reduced revenue and product mix. Moving on to the full company by geography in the fourth quarter, 50% of the revenue came from North America, 23% from Europe, 19% from Asia-Pacific and 8% from rest of the world. This reflects the decline of 7% in North America, growth of 3% in Europe, growth of 40% in Asia-Pacific and growth of 15% in the rest of the world. By geography in full year 2009, 54% of the revenue came from North America, 23% from Europe, 17% from Asia-Pacific and 6% from rest of the world. This reflects the decline of 15% in North America a decline of 21% in Europe, growth of 2% in Asia-Pacific and a decline of 26% in the rest of the world. Total company non-GAAP operating expenses for the fourth quarter of 2009 came in at $104.2 million compared to $100.6 million in the fourth quarter of 2008 a 4% increase driven by a weaker dollar, acquisitions and a significant investment in our China dimension user conference partially offset by $7 million of savings from cost reductions. For the full year, non-GAAP operating expenses were $406.7 million compared to $424.3 million in 2008 down 4% and partially offset by 6 acquisitions in 2009. For the full year cost reductions led to approximately $25 million in savings. Non operating income for the fourth quarter of 2009 was 6000 versus a loss of $1.5 million in the fourth quarter of 2008 due to an increase in other income partially offset by lower profitability from joint ventures. We finished the fourth quarter of 2009 with $273.8 million in cash compared to $215.1 million in the third quarter of 2009 we generated $55.5 million of cash flow from operations for the quarter and $194.6 million for the year. We now have $151.5 million debt basically flat for the third quarter of 2009, we did not make any acquisitions or repurchase any stock in the fourth quarter. In the fourth quarter net accounts receivable was $202.3 million down only slightly from $202.5 million in the third quarter of 2009. Day sales outstanding was 66 days down 3 days versus the fourth quarter of 2008. Inventory was $144 million compare to $160.4 million in the third quarter of 2009. Turnover 3.4 times compared to 3.3 times in the third quarter of 2009. Deferred revenue of $84.6 million was up $16.9 million from the beginning of 2009. Turning to our first quarter guidance we expect revenue between $308 and $313 million with GAAP earnings per share of $0.19 to $0.21 and non-GAAP earnings per share of $0.30 to $0.32. Non-GAAP guidance for the first quarter of 2010 exclude the amortization of intangibles of $14 million related to previous acquisitions and the anticipated impact to stock based compensation expense $4.9 million. Both GAAP and non-GAAP earnings per share assume a 27% to 29% tax rate and $123.5 million shares outstanding. With that I turn the call over for your questions. Thank you.
Operator: (Operator Instructions). Your first question comes from the line of Paul Coster with JP Morgan.
Paul Coster - JP Morgan: Yes, thank you. Steve actually I’d like to just ask about the SITECH business. How material is that to your E&C business and when you talk of momentum, can you just kind of give us a sense of what it is that you are seeing out of it and how it will contribute in the future?
Steve Berglund: Okay, we consider it strategically very significant and from the very beginning when we announced this in October 2008 at that time we said that it would this in combination with the joint venture activity but the combined lift at the time we said it should lift the total company’s growth rate not the segment but the company’s growth rate by 2 percentage points a year. We believe it still has that capability, it’s a little bit more of a confused environment now then it was then in terms of establishing that base line but we still believe that can add a couple of growth points to the company's overall growth rate. So, we consider it to be significant now without a doubt is for the last 15, 16 months both the Caterpillar principals and the Trimble dealers who need to come together to make this all happen and they have been dealing with really a meltdown of an economy and that has really pushed new distribution concepts to the sidelines while they focused on meeting the challenges of the environment. I think where now everybody is starting to see this increased ability, starting to see the road to an upside and so I think that the level of reengagement is occurring. So I can say that its current level of activity we have literally dozens of deals underway at this point in time. We won't necessarily predict when they are all going to come to closure but let's just say a significant portion of the character [world] and the significant portion of the Trimble world are currently engaged and so we would expect that as we get deeper into 2010 that will begin to sound more confident and more descriptive of what that initiative putting on the top-line and by implication on the bottom-line.
Paul Coster - JPMorgan: Okay regarding the Mobile Resource Management segment, Sprint and AT&T are coming out with more sort of business oriented solutions through handsets. I realized they are less sophisticated than yours but do you sense that some of the churn might be smaller companies being picked off by that small kind of commodity line solution?
Steve Berglund: There is always a little bit of that going on the background, so let's call a smaller operator is only concerned about dot on a map level functionality, I'll take the example of a taxi fleet where in reality they want the simplest dispatch capability in kind of dark dot on the map functionality. Our honestly we are not the right solution there and we are not targeting that particular kind of market place. So if all the customers wants is dot on the map functionality, we're not going to be targeting that market and okay, if we get an order, fine. So maybe in terms of the smaller accounts that probably is in the background some realization on the part of smaller operators that maybe they overbought and that they can get by with a simpler solution. I think overall we're seeing it and I think the evidence supports the fact that approaching that as a customer service problem, our customer support problem is the right way that in reality the best bulk of our customers really do want and need the more advanced capability that we're bringing them and that what we did was kind of an inherit an inadequate customer service model when be buy that road and its taking some time to fix it. But I think the progress we're seeing is really that of approaching it as a customer support problem, much more customer intimacy, much more dialogue with the customers. We can in reality see every unit out there and understand whether it's being used or not. If it's not being used, we have now put in place the procedures to call that customer and say why isn’t it, being used. Can we provide more training? Can we provide more systems to make it more productive for you? So I think it is there but in reality we're looking for companies and organizations that need a front end for their enterprise level solution and those are the ones we're pursing, not necessarily those that can easily be met by what I'm calling a dot on the map functionality.
Paul Coster - JPMorgan: My last question. Raj number of our companies are expressing the view there is suppressed cost that needs to be sort of addressed coming out of our '09 401k contributions, salary hikes, etcetera. If this is true of Trimble and what implications if there are any are there few OpEx going through the year?
Raj Bahri: Yes. So at this point we had salaries frozen for the last year. And we are going to watch the environment and reflect what the environment tells us if we think strong growth we may do some, we may restore some of the salary increases going forward but the environment doesn’t improve. So we will watch it on a daily basis. And depending upon the environment we will react but as Steve mentioned our intention is to grow the revenue double digits and no matter what we did on that front disproportionate amount of that will fall to the bottom line and we quantify that as 35% or 40% of incremental revenue we are targeting to fall to the bottom line in 2010. 
Steve Berglund: And I think maybe part of your point here Paul is that a lot of companies cut back on four way contributions as such, we didn’t do any of that we can approach things in its base. So we are not actually under any pressure to restore anything because we didn’t actually cut anything back in that category. 
Operator: Your next question comes from the line of Eli Lustgarten with Longbow Securities. 
Eli Lustgarten - Longbow Securities: Good afternoon, everyone. 
Steve Berglund: Hi, Eli. 
Eli Lustgarten - Longbow Securities: Just a couple of questions, one can you give me some insight on what's happened in the E&C profitability. We started to see some recovery in the second and third quarter. We had volume levels reported were actually reasonable. But we just saw a bigger step down in profitability that I might have expected in the quarter. Can you give me some insights of what of happened, is that mix or is that?
Raj Bahri: Yeah, couple of things happened and this is all kind of forecasted in our numbers. These are not surprises. We had increased joint venture investment we talk about that. This joint venture we talked about the virtual side, the level of investment, the level of R&D is ramping up fairly quickly, that was a significant increase from Q3 to Q4 and we also had this user conference that Steve mentioned in China which we spent in some money which we think will be a very prudent investment in terms of sales going forward and we did that and there was a little bit of mix seasonally Q4 mix tends to be little bit down versus Q3 mix. So there is nothing structured here Eli. 
Eli Lustgarten - Longbow Research: $15 million number and may be $20 million odd number with those to fact as account to that difference?
Raj Bahri: I am sorry.
Eli Lustgarten - Longbow Research: I see a $15.5 million number instead of a $20 million odd number, as the GAAP issue I am looking at.
Raj Bahri: Yeah I would say the investment is $2 to $3 million, China dimensions is another $1 million so that bridges the GAAP for you?
Eli Lustgarten - Longbow Research: I am sorry you said the.
Raj Bahri: The joint venture investment is $2 to $3 million incremental, the China dimension were $1 million. 
Eli Lustgarten - Longbow Research: Is the joint venture investment continuing in 2010 for most of the year?
Raj Bahri: Well the way it structurally works is we get some reimbursement from Caterpillar so it will not impact us significantly in Q1 and the China dimension is clearly one time so we expect the anti-margins to recover in the teams again in Q1 of 2010.
Eli Lustgarten - Longbow Research: And should get better the rest of the year the joint venture you said you would get some reimbursement in the first quarter both for 2010, is the relative level investment in 2010 to JV materially higher than 2009?
Raj Bahri: Not materially high, I would say maybe they need to do higher than Q, EPS impact from 2009 to 2010 maybe we have a one to two penny impact negative effect.
Eli Lustgarten - Longbow Research: You made the comments about the Ag business and Field solutions will be a little bit slow in the first quarter but you still expecting double digit gains for the year. I guess my question you know, are you seeing that in the pipeline you are hearing it because most of the surveys of farm spending in 2010 are lower than 2009 across the board particularly North America your own place itself is Brazil at this point.
Steve Berglund: Yeah so acknowledging the point you are making Eli and that’s may be why we are being a bit cautious here but overall we see Ag producing a good year in 2010 albeit that the environment is may be more uncertain, feels more uncertain than it would have a year ago for couple reasons one we actually don’t believe that we are hard correlated to the new machine sales is that we are selling cost reduction, we are selling productivity, we are selling yield improvement and as result we think that okay, in a non penetrated market we can break this linkage to the new machine sales. The other thing is that over the last year we have significantly increased the breadth of the product line within Ag adding these new capabilities more information intensive products so we actually have more to sell than we did a year ago and therefore we think that this sorts of factors should allow us to show again kind of return to what I call the long term trend line of selling technology in the agriculture.
Eli Lustgarten - Longbow Research: And with that we should be able to hold the profitability levels at this point if not approve of them. 
Steve Berglund: Yeah there is nothing we can see that would knock us off kind of historical profitability levels with some there are no forces that work that would really change the in hand profitability of this business.
Operator: Next question comes from the line of Ajit Pai with Thomas Weisel.
Ajit Pai - Thomas Weisel : Good afternoon could you give some color, I think you talked about not doing too many acquisitions right now. Could you give us some colors to what the pipeline looks like and which areas we are focused on?
Steve Berglund: Yeah, so I think that, Raj mentioned that we do not do an acquisition in the fourth quarter, I don’t think that indicates anything one way or the other in terms of our intent. Again at any one point in time we are out looking to see how we might enhance our strategic position either reinforcing our market beach head or filling in longer term technology or product gaps and if the answer is buy versus make in a sense or develop internally, we are interested and seeing what we might do. Again not saying that there couldn’t be an exception to this rule but in general our style of acquisition has been relatively small companies, relatively small expenditures to establish those sorts of things, they are on that many large opportunities out there that would be strategically coherent. So, that is what we are generally expecting. I think in general as we made four acquisitions in agriculture over the course of 2009 more or less, I think I wouldn’t be anticipating anything significant in agriculture anytime soon. I think the areas where if we were to do any kind of acquisition and would tend to be in the E&C space or the MRM space in attempting to accomplish those strategic ends.
Ajit Pai - Thomas Weisel : Got it, and in terms of competitor dynamics, have you seen a change in the pricing behavior or any aggressive behavior from any of the competitors?
Steve Berglund: I’m not going to deny that in the back alleys and in the corner cases that this environment creates fairly tough pricing actions. But it tends to be circumstantial and situational and often times is occurring at the dealer level not necessarily as matter of corporate strategy. So as far as I know that we haven’t really touched our list prices in the last 18 months, at least in any sort of systematic way. And so I think that our view is that the overall placing structure has remained pretty constant although in individual cases there may be a better way a better but that will going on. So, right now we don’t see anything that I would call systematic and long-term.
Ajit Pai - Thomas Weisel : Then when you look at the Mobile Solutions business, the second half of last year this was the business that you are getting increasingly optimistic on and expecting a ramp and a drop in churn etcetera. In the past few, at least the last quarter were you disappointed with this business or was it tracking as per your expectations in the middle of last year.
Steve Berglund: Yeah so I think early to mid last year we were probably a bit more optimistic on the timing of things. I think we were quite optimistic at the beginning of 2009 and in reality I think a couple of the facts slowed it down or impeded that a bit in general people became more cautious and more deliberate and so things moved out in time so the pipeline in those cases didn’t really change and there were a handful of anecdotes of companies calling and saying we really want to do this but we have just laid off the department that was going to implement it for us and so we will get back to you in 2010. So without a doubt the recession did impact the relative profile of what we originally expected for 2009. I think and maybe in a bit more of a muted fashion I am saying kind of the same things about 2010 because we're seeing the pipeline is long. We're seeing a lot of opportunities. We're seeing a lot of sizable opportunities and when I say sizable I'm talking 500 to 1000 up to income cases more than 10,000 units as opposed to 10s and 20s and 50s. Those have kind of largely disappeared and so I think we're confident about both the pipeline growing but then we're also feeling pretty good about the competitive dynamics here. We're not attempting to, when we are in a competitive situation we're not tending to lose is the wider, the Trimble brand name is beginning to stand for more and more in this market and we're not tending to lose. So the business that is out there, we are tending to progressively get a better and better handle on competitively as well. So we're still optimistic about 2010 but without a doubt 2009 didn’t turn out exactly as we would have forecasted it at the beginning of the year.
Operator: Your next question comes from the line of Michael Cox with Piper Jaffray.
Alex Potter - Piper Jaffray: Hey, this is Alex Potter actually for Mike Cox. Just a follow-up here on the Mobile Solutions segment. The profitability in the segment got a nice bump here with that with double digits, 11% that we in the quarter. Is that a decent run rate going forward looking ahead here into 2010?
Steve Berglund: Yeah, I think we continue to view this in the longer-term emphatically as a 20% plus operating margin business but the amount of recurring revenue builds that pulse with it inherently larger gross margins. And so the profitability of this business if it's successful at the top line should bring with it higher and higher operating margins and we assess we're the steady status when we get to 20% but we still continue to see this is a 20% business at steady state the numbers should yield that sort of result. So today I would say yes that we believe that we have achieved double digit operating margins status in this business and expect with some volatility from quarter-to-quarter. This will tend to be a more volatile business than other Trimble businesses but on a six month or nine months rolling basis this should we believe we are now into the double digit status pretty structurally and we expect it to go up from there. 
Alex Potter - Piper Jaffray: Okay. Great, you also called out survey instruments here is the driver of E&C sales was just wondering if you would consider this to be a leading indicator of I guess future demand for a broader set of products within that market?
Steve Berglund: Yeah, if you would ask me that question two years ago I would have instantly and emphatically said yes. In this environment I am drawn to be a little bit more careful about what I say is simply because things, this is a little bit more of abnormal market than anything we have ever seen before in terms of what's what. But I think in general I would say so but with a degree of cautions we are taking this quarter-by-quarter but it's encouraging to see a lift in survey instruments the outlook is actually pretty good. Now these are dismal levels a year ago or even two years ago. So we saw a couple of years though hard times in survey instruments so we are working of a significantly lower base than say the 2006, 2007 sorts of number. But I would say yes the lift is encouraging and historically I would say that survey instruments have been a leading indicator.
Alex Potter - Piper Jaffray: One last question here in the E&C segment, just if you could comment on inventory in the channel has there been any improvement or things are pretty low? 
Steve Berglund: I would say again my sense is that things are still historically low and from an operational standpoint I would hope that they stay low I would hope that one of the things the dealers have learned during the last 16-17 months is that Trimble's delivery reliability is good enough as that they don’t mean to necessarily maintain the safety inventories that they might have had historically. So I guess what I am saying is that I am not necessarily expecting an inventory work for Trimble and I think if we don’t see it, that will be a good thing.
Operator: Your next question comes from the line of Corey Tobin with William Blair & Company.
Corey Tobin - William Blair & Company: A couple of quick ones, let's start with the mobile solutions, Steve I am just trying to go one level further on your comments regarding the outlook for this business in 2010 based on what you are seeing in the pipeline based upon your comments earlier, is this the business that we should expect to see grow higher than the corporate average here in 2010?
Steve Berglund: Really hard question to answer just because there are so many moving parts, because under one scenario it might be one things and on a different scenario it might be another, I would say it certainly the capability from what we can see here earlier in the year has that capability to grow faster but a delay of a couple of large contracts later in the year could change all that so I would say is from a strictly pipelined standpoint and from a straight up view earlier in the year, I would say that our general expectations that yeah it could grow faster than the corporate average we are counting on things like this forestry product really kicking in and it still continuous to be doing well. And the combined effects of all these things in general would lead to my saying yes to that question but at the same time its construction actually does start to kick in as the year goes on is E&C itself could be a surprised. But just, everything I am saying is highly qualified at this point of time because I don’t think the crystal ball is all that clear relative the full year at this point.
Corey Tobin - William Blair & Company: Okay, so we move in the relative nature of the question if we look just the mobile solutions segment 2010 could be here the way its lining up right now pipeline imply that this could be the break out year in terms of growth for the segment is that a fair way to look at it?
Steve Berglund: That’s a fair way to look at it but I won't repeat that but the qualifications do need to be considered.
Corey Tobin - William Blair & Company: Okay two others if I could shifting to Ag and the margins in that point would you say given the dynamics here and given again expected return to growth in that segment that the 27% or so operating margin we saw this quarter should be the low point as we go forward?
Raj Bahri: Yeah I mean if you look at the full year you should really look at the full year because it is a seasonal business in Q1 tends to be by far the biggest quarter and you could see close to 40% margins in Q1 so on average I think we averaged to on a non-GAAP operating basis we average 36.2% margins for the full year and we expect it to continue into next year for the full year basis.
Corey Tobin - William Blair & Company: Okay great final one if I could Steve as we sit here today relative to last time, you had a call in October or maybe November, whenever it was. Are your confidence level and the double digit growth here put 2010 higher or lower based on what you have learned since then?
Steve Berglund: Well, overall my confidence about 2010 would be that’s grow marginally higher in January than it was in October, so we are on the right trend line. It's just we are seeing, again there is more volatility out there than we have ever seen before as a company. So, I think this economy has not yet settled itself out. But I would say that in terms of since the cost for low point of January a year ago, there has been a steadily increasing level of confidence on my part that we got come to grips with this thing and okay my confidence would be higher today than it was in October.
Corey Tobin - William Blair & Company: Great, congratulations on the return to growth, thanks.
Operator: Your next question comes from the line of Yair Reiner with Oppenheimer.
Yair Reiner - Oppenheimer: Yes, thank you. Your guidance for the first quarter implies quarter on quarter growth of about 12%, I think historically seasonally grow about 15% to 20% in the first quarter. What are some of the puts and takes so maybe making it little more cautious than you typically would be?
Raj Bahri: No, you are right about the seasonal impact, I think Ag business as I mentioned earlier is pretty much phenomena that happens in the back half of the quarter, I would say last four weeks of the quarter and so we are being a little bit cautious from that point of view.
Yair Reiner - Oppenheimer: Okay, the other elements.
Raj Bahri: For example of Q1 of last year was really a good year for Ag and in Q1 of ‘08 was a great year, we had 80% growth rate in Q1 of ’08. Q1 of ‘09 we had a 13% growth rate on top of that. So, to repeat a growth rate in Q1 2010, it depends really, so that’s where we are being a little bit cautious there.
Yair Reiner - Oppenheimer: On gross margin you are down a little bit sequentially in December should we expect gross margins to kind of toss back to that 52 plus or minus range that historically has been in the first quarter?
Raj Bahri: Yeah I mean if you look at again I will talk more here, on the yearly basis we did 51.4% margins for the full year of 2009 and we expect that to improve going into next year.
Yair Reiner - Oppenheimer: And then finally one of your competitors reported the results that recently a Japanese competitor in E&C seems to be losing some momentum in their business, may be you can talk a moment about the competitive dynamics in the E&C and how may be the slowdown is kind of reconfiguring where your competition looks like?
Steve Berglund: Yeah I don’t want to overdo this but I think that when we entered the slowdown and it was significantly before September 2008 as a company we basically regard of the slowdown as an opportunity to maybe reset the competitive positioning within the market place. So without talking about anybody specific out there I think for example at the INTERGEO show which was the largest survey instruments trade show in the world which was in Germany in the late last September or early October. We at Trimble had two booths in two halls. One was the Trimble booth, the Trimble brand in one hall with yellow product that has take with the high-end brand from high value high technology, relatively higher pricing in the other hall we had another booth that do not use the Trimble but use the name Spectra Precision and Nikon and that booth was unveiled bottom let's call a top to bottom entirely new product line and this was something other than Trimble product been at a different teller this was difference in function, difference in market positioning. But of that I think represents a coming of age if you well of the [Brand B] strategy we have been talking about for number of years. Originally the [Brand B] strategy was really targeted at China to give us a mechanism for kind of meeting local competition in inside China but we have expanded it worldwide. So I think that just using that as an example from a strategic positioning standpoint we now have a better set of tools to go after that end of the market let's call the lower end market than we ever had before. So with that sort of thing we are occupying new market space where we haven’t traditionally been as active as others have been and then I would say at the high end in terms of the comprehensive solutions oriented business the Virtual Site joint venture which will generate product for the first time in 2010 a new product completely new product as well as the other connective site sorts of initiatives we are doing I think we are laying claim to let's call the big picture solutions business as well. So I think during the slowdown is I think it overall represents an opportunity for us.
Yair Reiner - Oppenheimer: Great and the final question from me, Advanced Devices shrunk 15% or so 16% in 2009 is that kind of new level going forward is there anything interesting to be said about that division as you look ahead 12 months?
Steve Berglund: No, that particular segment tends to be kind of pretty steady and it will fluctuate around. We don’t see it is having, let’s call significant strategic upside from a revenue perspective. There are some ideas floating around in that that could turn out to be interesting from a pure technology standpoint. But I think what you see is what you get out of that segment and I wouldn’t be predicting big swings out of that segment anytime soon.
Operator: Your next question comes from the line of Rich Valera with Needham & Company.
Rich Valera - Needham & Company: Thank you. I’d like to beat the Mobile Solutions for just a little bit more here. Steve you mentioned there was, you are somewhat taken off guard by how many I think layoffs you were seeing amongst your target customers. Can you characterize the trends you are seeing there, is that something that worsened in the back half of 2009 or do you think the worst is past in terms of the attrition and your target customer base for Mobile Solutions.
Steve Berglund: I think the answer is a little bit of yes or no on that, so, I think that we saw the worst of that particular phenomenon in early 2009. I think the thing that will be with us a little bit in 2010 is that some of these individual customers and some specific industries and I don’t necessarily want to go into detail, have some industry specific conditions that are putting our customers under stress and as a result we might see some fallout from that. Now again we think that the overall effect is, the net effect will still be up into the right fairly strongly. But I think that there is some structural realignment accruing out in some of these industries that were serving there and then just as a matter of that we’ll see a little bit of volatility and little bit of churn but I think in terms of kind of across the board economic effects that are causing the social layoffs that I referred to, I think that was pretty much over in the first half of 2009 and what we have seen since then is a pretty steady environment and I would also say to emphasize the point as the larger players the enterprise level players out there that have many 100s or 1000s of units out there. They are feeling the pressure and they are looking to cut their cost, they are looking to improve their productivity and so on reality this environment is actually helpful when it comes to those classes of customers we are getting a lot of engagement with comparatively large enterprises that are looking to transform their cost base.
Rich Valera - Needham & Company: And just one for me for Raj, you have put up some decent revenue upside in the quarter that your EPS was within the guidance range you had given was there any unexpected expenses in the quarter or any area that saw margins maybe that weren’t quite where you expected.
Raj Bahri: Yes I think what happened is part of the revenue upside was foreign exchange, the dollar did weaken throughout the quarter and part of it was mix a little bit unfavorable than what thought so. From that basis we probably a penny shot versus our guidance where we should be but you know the high end of the guidance on the EPS side but our revenue wasn’t over mix so we should have probably delivered a penny more and mix hurt us and we were not able to do that.
Operator: Your next question comes from the line of Jonathan Goldberg with Deutsche Bank.
Jonathan Goldberg - Deutsche Bank: I just want a follow on what Paul had been asking earlier about how do you lever up as growth returns, how much more hiring do you have to do if any? Can you keep comp in line or you are going to have to start doing things like buying soda and water in places where you didn’t do that for a long time. How do you grow the business again.
Steve Berglund : Okay well let me point out that we been a cheap company forever and this is being cheap is not necessarily a new phenomenon for us and every employee on the line is probably smiling at this point in time because it’s true. So we didn’t do okay we engaged the issues we did a 10% plus reduction in forest starting before September 2008. So we have taken down kind of the structural cost in the company significantly over the last 18 months 18 to 24 months. But in terms on the upside as we see upside buying large our decisions on adding cost back will be elective. We are not really mandated to add back cost as revenue goes up. Now, there are the obvious corner cases okay loading dock personnel assembly personal both sorts of things obviously scale pretty rigorously with revenue. So I think that and I am not suggesting we are going to this we talked about 35 to 40% operating leverage but in reality I think we start off with the ability being our choice of something pretty close to the gross margin number as being what we could drop to the operating line. Now in reflecting on what we see in the environment and the fact that we do see growth opportunities out there and that we do see the ability to make our productive investments and what we are saying fairly explicitly here is for every dollar of revenue increase we would expect to drop $0.35 to $0.40 of that to the operating line and I think we can do that comfortably without any real stress that is what we have done historically for a long time has really focused on this operating leverage thing. So, I don’t think we have any mandated cost replacement sorts of issues facing us as a company.
Operator: Your next question comes from the line of Jeff Evanson with Dougherty & Company.
Jeff Evanson - Dougherty & Company: Just curious, what drove the strength in advanced devices this quarter?
Raj Bahri : You are referring to the fact that it grew slightly?
Jeff Evanson - Dougherty & Company: Correct.
Raj Bahri : Last year Q4 was pretty bad and we did have some contractual work in our Applanix division that we finished, that generated some revenue for us as well. But more to the fact that Q4 of last year was really bad, the comps were a lot easier was part of it.
Jeff Evanson - Dougherty & Company: So, this Applanix revenue is we shouldn’t model of that is recurring potential?
Raj Bahri : It was a couple of million dollars.
Operator: Your next question comes from the line Scott Sutherland with Wedbush Securities.
Scott Sutherland - Wedbush Securities: Thank you, good afternoon. Few questions, back on the kind of the margins and it seems most of E&C margins is where your margins have been under pressure, you are doing, adding back that $2 million you are doing by about 13%. Historically during the mid 20, so is it going to take revenue growth is cost structure wide or anything else like product mix to get those margins back to mid 20s and is that a goal of yours?
Steve Berglund : Well, certainly as our view is that, okay, we are a 20% non-GAAP operating margin company, we have touched that level, we touched in the September 2008 quarter on a 12 month rolling basis for the first time. So we certainly see ourselves that way and given the gross margin structure of the E&C segment, it has the inherent structural characteristics necessary to generate a 20 plus percent operating margin business. So I think it is our expectation that we will return to those levels. Now the answer on the revenue, yeah we will need some help from the revenue side to do that because we see the potential still there on the long-term so there was a limit to what we were willing to do on the cost reduction side there but we do see that as inherently a 20% plus operating margin business.
Scott Sutherland - Wedbush Securities: You highlighted that China was one of the highlights of the E&C segment with the recent user components out there. What's your thought and how long the Chinese stimulus will continue to benefit you guys and may be if you see anything beyond that continuing to benefit your business there?
Steve Berglund: Yeah I mean I think the China stimulus in the short-term is certainly may be environment more exciting but I think that looking at it in a 5 year context or even a 5 to 10 year context after the effects of China stimulus of past we still see this as an outstanding market opportunity simply because our penetration rate, the penetration rate of the technology we are selling into China is still at a very low rate. So there is just really upside everywhere we can see in China in terms of selling technology and end number of applications. The other thing that more structural is that inherently really to current times but certainly prior to 2009 most of what we were selling into China was survey instruments, that was by far and away the dominating product category. We are expanding that product range out and bringing all the other Trimble products into China and so we are building our self a larger wider product platform in China so we have more growth opportunity or more look for growth in China then we have before so we don’t see this is a short term phenomenon yeah there might be some feeding frenzy aspects to this but we see this is fundamentally a very strong growth market for 5 to 10 years.
Scott Sutherland - Wedbush Securities: Last question I had is on the mobile solutions and more on this new forestry products you have out there you said in the past you kind of see this $15 million annual revenue opportunity is it something in the back half this year you just see kind of in the single million and you see 2011 being more material or is it kind of longer term than that?
Steve Berglund: I am going to be careful just because kind of the contractual cycle and the implementation cycle in this business is turning out to be a little slower than we thought 6 or 9 months ago. So let just say I put kind of put it this way without necessarily putting a stake in the ground as the total 2010 sorts of numbers. But certainly by the time we leave the year the run rate in that business should be providing a lot of volatility to my relative optimism here so I would say I am not going to necessarily call the number for the year but I would say by the time we leave the year we should be pretty compelling in incredible on the whole thing.
Operator: With that there are no further question thank you for joining us.